Sébastien Bazin: Well, I guess, we're going to be right on time, which is on typical for me. Welcome everyone to this session and we're going to be talking about 2024 and hopefully about 2025 and onwards. Thanks for those, who made the effort to come physically in the room. We're happy to see you and happy to have all of you online. I'm going to start with probably what I like the best which is 20,000 feet altitude looking at Earth and looking at the world. Geopolitics, I'm not going to teach you anything that you don't know, but it's probably good to be aware of it. The world is probably more so than ever fragmented in terms of conflict and in terms of accepting differences. Economies are very contrasted in terms of where you are in the world, if you are in Singapore in the Middle East you're a happy guy. If you end up being in Northern Europe you're certainly less happy. And if you're in America, you are also a happy person. So it's we have to navigate between a lot of different economies. And I think we're okay at it trying to anticipate the shocks and what could be in front of us. Global trade volatility it's only the beginning. So we'll hopefully going to know better in the next few months or few weeks. Inflation and interest rates are under control and normalized. I saw what happened yesterday numbers in the UK. So we have to be cautious before we celebrate any victory here. Accor consciousness, it is a bigger and bigger topic again depending on geographies and politics, but it is not going in the right direction in terms of climate control. We have to be even more sensitive to orbitorism. And Accor is doing quite a bit on, really putting new destination on the block. But I guess, it's -- we have to be part of it and we have to act diverging climate policies. We just touched upon it two seconds ago. Technology that's probably where we should be spending most of our time in the next few months before the end of the year is AI. Generative AI has been adopted by many of you in the room and many of you listening to me. But it's even more true for the search and those who are going to be looking for new destination. The new generation between 18 and 24 years old, 50% of them go on ChatGPT and many other localize instruments on selecting where they want to go. One minute on this one or 30 seconds, we had last week in Paris the AI International Summit, and a lot of big guys in the industry came in Paris. And I had the privilege to spend some time with ChatGPT, OpenAI and Sam Altman. And we were 20, 25 different CEOs in the room. And we talked about impact of generative AI. And I asked him, I said, "Can you please help me understand what could be the impact of AI on our hotel industry? And he paused and he said, well, you might be the only lucky guy in the room. And when he meant by it, because we actually went further on his dialogue, he said, well a lot of different industries verticals whether it's health care, e-commerce, automotive and many others will be severely impacted probably for the better. When it comes to AI, he said, but on hospitality, food and beverage experience and AI will be only an enhancer and certainly will not replace what you are doing well. So use the tool, but don't have any fear on basically replacing that human interaction that you have. So it's a -- it was a fascinating moment no question at the bottom right here. We have to be anticipating and we have to be one of the best users of AI, certainly in terms of efficiency, operationally in terms of customer relationship with our own and guests. The international travel is back, is it as strong as we wish? Probably not, but it's certainly back as of 2019 level and we are expecting a 3% to 5% growth in 2025. Of course, it diverge on different regions. It is very strongly back and record numbers, plus 32% in the Middle East and it's not stopping. Middle East is really an incredible destination for a lot of actually new international visitors. It is getting much better in Asia Pacific and it is getting much better in China. The one thing which is very encouraging about China is the Chinese are really going internationally almost as much as 2019, probably likely at the end of 2025. So you're going to see a lot of this 150 million Chinese who left the country in 2019 will be back to the same level probably in the next 12 months, super encouraging in terms of Chinese visiting all Southeast Asia, Australia, Korea and other countries. 75% of the travelers are really linking their trips to a leisure experience and as of a priority. So we have this new name which I think I finally understand this gig tripping or gig travel, where it is true that a lot of visitors go around an event that they really want to attend and they stay longer in that destination. It is true for music. It's true for sport. It's true for culture. We have some news this morning, I think the number was almost two million visitors came to Notre Dame to visit over the last 60 days. And many of those are international tourists who spend actually two or three days. But the aim and the objective was to go and visit Notre Dame again. Climate issues. We have to be cognizant of it. We have to basically do a better job on promoting kind of actually preserves included destination. And there is one benefit out of it, people might travel less, but they're still longer. The average life of sale is probably up 20% to 25% from pre-COVID. New destination, I just touched upon it. Personal balance. It is tough. It is very difficult for us to assess is a trip done on business or on the leisure. It's all combined today. Data doesn't really show us what was the main purpose of the trip. But that leisure name, which I still forget who invented it, whether it's one of us, but it is more true today than it's ever been and you know on working remotely. We still have exact same trend that we had for the last two or three years. People do travel from Thursday night to Tuesday morning. They work remotely on Friday and Monday, but they visit a place a couple of hours away from where they live, and they enjoy a longer weekend. But of course, they do work on that Monday and Friday using the WiFi at the hotel. So it's a very good environment in which we live in terms of underlying economics for the travel and hospitality sector, no question about it, but you're going to have to navigate in terms of destination, geography and economies. So we feel very strong for 2025 and onwards. I'll give it to you Martine.
Martine Gerow: Thank you Sebastien, and good morning, everyone. So for clarity purposes, before I start with my introductory remarks, I'll just start with a comment on EBITDA. And you may notice that in our financial communication material we have renamed EBITDA to recurring EBITDA and this is strictly to be consistent with the naming convention in our financial statements. It does not impact at all the definition, which is as per previous year and same definition as the CMD. And I'll now start with Page 8 for those of you who are on the phone. So 2024 illustrated the resilience -- continued resilience of the hospitality sector in a context that is normalizing. Following several quarters of strong performance. We're really happy with the fourth quarter performance where RevPAR was up 5.8% on a like-for-like basis. And the performance is actually pretty well balanced across occupancy and rate. On a full year basis, RevPAR was up 5.7%, which is above the high end of the guidance where we hire -- disclosed in October. Room revenue growth was actually driven both by business and leisure, which proved remarkably resilient. On the corporate activity, particularly in large account room, revenue posted a double-digit growth and that was really driven by our tech and financial services client. Turning to net unit growth. Net unit growth was up 3.5%, which is exactly in line with our 3% to 4% guidance. And that's over one point above the net unit growth of 2023. So, clearly a sign of acceleration. Pipeline was also up by 3.8%, so slightly above the net unit growth and that is supporting our midterm goal of delivering net unit growth of 3% to 5%. And in addition, we reached a record high in the value of our signings, which were up 11% above 2024 and that is really a testimony to the strength of our brands. We translated the solid operating performance into a solid set of financial results. Revenue was €5.606 billion that's up 11% versus prior year with a growth of 7% in our management and franchise revenue. Recurring EBITDA reached close to the high end of our guidance at €1.120 billion and that's up 12% year-over-year. And this included a very healthy progression in our M&S margin of 100 basis points, which is in line with the trajectory that we have for this segment. So, very good operating leverage in 2024. Turning to recurring free cash flow. We treat €614 million. That's a high for the group with a cash conversion of EBITDA of 55%, which is in line with the guidance. And finally shareholder return. We returned €686 million in 2024 to shareholders and that equates to about a 7.5% yield based on the January 1st market cap. So, in summary following the Capital Market Day, this is the second year in a row where we are consistently delivering in line or above our guidance in both operating and financial metrics. Let's move to RevPAR. So as I just indicated, we closed 2024 on a really strong note with a 5.8% RevPAR growth. You can see on the left side PME, which was 4%. And you can see that also equally driven by price in occupancy gain. In the quarter rate was up 2% and occupancy rate was up one point. Occupancy is still about two points behind 2019. In ENA, Q4 RevPAR was up 2% primarily driven by occupancy rate. The three largest countries in ENA, which are France, U.K. and Germany pretty much maintain the momentum from the first nine months. Starting with France, Paris reported low single-digit negative RevPAR in the quarter. Some of that is the effect of the Rugby World Cup in 2023. But we were very pleased following the comment Sébastien just made on the reopening of Notre Dame. RevPAR turned positive in December in Paris, thanks to very strong international demand. And the driver for that, are the strong U.S. dollar. So we saw a lot of Americans coming to Paris, for the holidays the opening of Notre Dame and the Post Olympics effect. Poland was a bit less volatile, and reported flattish growth in the fourth quarter. In the U.K., London as well as province were pretty flat, which is consistent with the trend that we've seen in the previous quarters. And Germany RevPAR outperformed both France and Germany, with low-singledigit growth in the quarter. And we still have a fairly large occupancy recovery to take place in Germany. Turning to MEA APAC, where we had a 5% RevPAR in the quarter which was a bounce back after what we had experienced in Q3 which was somewhat weak in the performances driven two-third by rates and one-third by occupancy. In Middle East, Africa, Turkey which is really the part of this region that drove the improvement with high-single-digit growth. It was really driven by the recovery in Saudi Arabia which was no longer affected by some of the seasonal comps we have in this region which -- where demand is tied to the calendar of some of the religious pilgrimage. Very strong occupancy in this region, actually in this region in Middle East, Africa, Turke; the occupancy is 10 points above pre-crisis level. In Southeast Asia, continued strong momentum double-digit RevPAR in this part of the world which highlights the continued attractiveness of the region. Occupancy is actually also above 2019 level in Southeast Asia. Pacific, returned to positive growth. In the fourth quarter, mid-single-digit growth with very strong leisure demand. And finally China, China sequentially improved. So Q4 was better than Q3 but still negative in the mid-single digits. Americas continued strong momentum double-digit growth. You see 12% in the fourth quarter. Americas I remind you, is mostly Brazil, Foraker and we still have a very good very good momentum in occupancy and rate. Moving to Luxury and Lifestyle on the right, RevPAR in the quarter was up 10% and you can see it's pretty balanced across both Luxury and Lifestyle. On Luxury which was up 9% that was driven by occupancy and rates. RevPAR performance was actually very solid across all brands and across all regions. And actually if you look at region comparable regions Luxury had a better performance than PME and that is a testimony of the resilience of the luxury sector. We were particularly pleased with the strong performance in North America and Europe. Lifestyle aligned with the performance throughout the year with a RevPAR growth of 11%. And that is particularly driven by Turkey, Egypt and the United Arabs, UAE where we have a lot of result. Moving to the portfolio on Slide 10 and I'll start on the left with PME. So net unit growth 2.8%, that's in line with the 2.5% to 3.5% guidance that we've communicated. We had a bit higher churn in 2024 like we did in 2023 and that really is a reflection of the continued pruning of the portfolio. And that's mostly affecting the region. Although I will point out that the properties that churn have a lower fee per room than the property that we open and therefore over time we should see an accretion in the value of our keys. Pipeline was up 3.2% year-over-year 177,000 room and a few milestones just to illustrate the openings we opened our 1000th Mercure and the first premium signing in LatAm, which is again just another sign of the success of refocusing on premium. And the M&F revenue per room that's a very important KPI for us was actually stable at €1200 per room. Turning to Luxury and Lifestyle on the right. Q4 was a very active quarter for this division. We opened 6,000 rooms and that allowed us to actually -- that was a record three times higher than the pre-COVID level. Notable openings in the year were Fairmount Long Beach the SLS Cancún and Mama Shelter in Dubai. L&L pipeline growth continued to grow at a sustained pace. But more importantly the value of the signings is quite dynamic. Signings in value grew 39% for the Luxury and Lifestyle division in 2024. And we also have a very healthy M&F revenue per room at €3,900, which is slightly up from where it was in 2023. So at group level again 3.5% net unit growth in line with the 3% to 4% guidance we had communicated for 2024 with a record level of opening in Q4. I know you guys often -- one in our conversions, conversions were 55% for 2024. Moving to the revenue on page 11. So revenue of €5.6 billion in 2024 that's up 11%. You can see here the makeup of the revenue growth by segment. This revenue for the group was impacted positively by the full impact of the consolidation of Chabu [ph] and the acquisition of [indiscernible], but we also had a partial negative offset from FX. So if you look at it on a like-for-like basis or the revenue growth was 9% for the year. For PME, revenue was up 5%, which is in line with RevPAR. Services to owner grew at a higher pace than RevPAR and that's a reflection of the positive channel mix we have in distribution and hotel assets another pretty much flat in 2024. The performance remains driven by Australia and Brazil. We did dispose Accor Vacation Club in Australia, which had a negative scope impact. And then we had the impact of FX primarily the Real, which really started declining in the back end of the year. Turning to Luxury and Lifestyle, very impressive growth 19%. You can see that M&F revenue is up 11%. So that's four points above the RevPAR growth for this division. Positive impact of openings as well as the growth of our branded resi business. Services to owner also grew at a slightly higher pace than RevPAR also due to the positive mix in channel. And hotel and assets, pretty much reflects the acquisition of [indiscernible] as mentioned previously. Turning to M&F revenue. So M&F revenue up 7% for the year. So that is above RevPAR. You can see here the breakdown by division. So I'll start with PME. PME was up 5%. And the growth was robust pretty much across all the regions, which you see here in Americas up 2%, which is obviously less than the RevPAR is the reflection of the erosion of the Real. For Luxury and Lifestyle, 11% growth for the M&F. You can see pretty much driven by Lifestyle 31% growth year-over-year, which is obviously a combination of the good activity in RevPAR great openings, but also very strong activity in branded resis. Luxury growth was a bit below RevPAR and this is impacted by the end of some of incentive waivers that we had in some Sofitel primarily in France. I'll now turn to EBITDA. On slide 13. So the group EBITDA was €1.120 billion. That's a record for the group. That was up 12% on a year-over-year basis. And you pretty much reflect a very strong top-line growth coupled with sound operating leverage with a 100 basis point improvement in M&S margin. STO positive, as was our commitment. It's actually positive across both divisions. And it's a combination of distribution channel mix as well as cost discipline. And for hotel assets another it's really a reflection of the growth in profitability in our Restaurant business, but also the integration of some acquisitions. Regarding PME you can see that PME EBITDA was up 8% in 2024 reflecting the activity very healthy growth in margin in M&F margin for PME, which was up 130 basis points so slightly above the 100 basis points its commitment that we have for this division. Positive STO and hotel assets another again a reflection of some scope effect, but also some FX impact. Luxury and Lifestyle very healthy growth 21% growth in EBITDA with 12% growth in M&F again positive STO and then obviously very strong growth in HE and other primarily acquisition-driven, but also good margin improvement in restaurant. I'll now turn to the rest of the P&L on page 14. So we achieved a net profit of €610 million in 2024. Our earnings per share on a diluted basis were €2.33 that's up 5% versus prior year. So I won't go through all the lines of the P&L. I'm just going to call out the main highlights starting with D&A which you can see here increased to €341 million. And that's a reflection of the full year impact of some of this acquisition that I previously mentioned as well as the full year impact of the Paris headquarter which -- and you may recall that we had a sale leaseback in the Paris headquarter in the first half of 2023. The other line to note is our share of profit losses in associates which went from €44 million to €188 million that is really related to our 30% stake in Accorinvest. As you know Accorinvest is engaged in a very large asset disposal plan. They've actually completed 50% of their plan and that has triggered some important capital gains of which we capture 30%. But operating performance at Accorinvest was actually very solid. Net financial expense went up and that's driven by the increase in our debt. The average cost of debt is stable 2.5% no change versus last year. And we also had some non-cash negative impact due to some adjustment in the fair value of some financial instruments which flow into this line. And finally income tax. Income tax is actually if we were to look at first half, second half you will see that it's quite equivalent. It is normalizing in 2023. I recall -- I remind you that in 2023 we had a very large impact from deferred taxes €125 million, of which €100 million from deferred taxes. The 2024 income tax line includes a one-off impact, negative impact from taxation related to our reorganization by division, which we offset by some deferred taxes as well but not in the magnitude of 2023. Moving to cash flow. So recurring free cash flow €614 million, that's a 55% cash conversion ratio. If you look at the main line you can see that the cost of debt is quite stable cash income tax increased to €169 million. That's a reflection of the increase in a taxable basis but also the fact that we have some countries for which we have extinguished our NOLs and therefore we're starting to pay taxes. Lease liability pretty flat. Recurring investment CapEx that includes key money. You can see that that was pretty flat versus prior year €221 million versus €280 million. And finally working capital. I remind you that in 2023 we had a favorable impact of €52 million in working capital from the final payment from some deferred fees from Accorinvest. And you can see that if you normalize for that working capital is actually pretty flat year-over-year. And net debt reached almost €2.5 billion at the end of 2024. As a reminder, net debt was €2.9 billion at the end of H1. So that's a €400 million reduction and the main movement in the second half were on the positive side obviously the generation of cash flow. As you know our cash flow is quite seasonal. Most of it is in the second half as well as the capital injection in Accorinvest. So zooming on balance sheet and shareholder return on Page 16. We pursue – we continue to pursue our active liability management. We did a couple of issuance in 2024 mainly we issued a seven-year bond for €600 million with the slightly under 4% coupon and we successfully refinanced our second hybrid. Our debt average maturity actually went up in 2024. We're now above three years for a stable cost of debt. And our net debt leverage is managed at a level which is consistent with our investment-grade rating which we intend to keep as it is defined by rating agency. On the right side you have the trend in shareholder return. Again €686 million in 2024 that's a 7.5% yield. And we will be – yes our policy is to distribute 50% of our recurring free cash flow. And so if you do the math that equates to a dividend of €1.26, which is 7% higher than the dividend for 2023 and that's what we will propose as an ordinary dividend in the shareholder assembly in May. And I will conclude my introductory remarks on the Slide 17. You can see that is the scorecard. I'm almost empty to say that is our Bible. In 2024 Accor is well in line with its guidance on every indicator and our results are also fully consistent with our CMD guidance which is the last column on the right side of the slide. So we delivered again very solid operational and financial metrics which coupled with a strong financial discipline led to a 12% EBITDA growth and a 55% cash conversion. We continue to execute our shareholder return program as we committed to during the CMD in June of 2023 and we exited 2024 on a strong note, which we hope bodes well for 2025. And as for 2025 onwards and this will not be a surprise. Consistent with our standard practice, we do not disclose specific guidance at this point in time in the year. But that being said, we are very confident with our ability to deliver our mid-term perspective, again, as disclosed during the CMD. And with this, I'll turn back to Sébastien.
Sébastien Bazin: So we're going to go to the final four slides. The one we probably should be the proudest about is ESG. You know this company has been doing quite a lot for the last 45 years when it comes to engagement, diversity, social elevator, hiring a lot of people with less privileges, and of course, anything which is environmental. And one of the things that we've been lacking and feel a bit sorry to admit it, is whether we have the right tools, the right technology and then the right measurements. And just for you to understand, when you deal with 127 countries and some very remote places in Sub-Sahara Africa, in South America, in the Middle East or Australia, it is tough to have a systematic management tool to understand and how to benchmark how much are you consuming when it comes to carbon emission, energy, water, food, waste, so many different things that I guess we are committed to. But you need a common system, a common tool to understand what you are trying to resolve. So we had an engagement in the STIP, all the employees of this company and saying, well we need to get our act together and we need to get that common tool for water consumption. And we said, let's have it for 80% of the managed hotel in the world and let's try to get it for 50% of the franchise hotel in the world. That tool is called Gaia 2.0 and there is all the kind of actually sub tools. And I was extremely happy to realize that I guess in the matter of 12 months, we got 90% of all the managed hotels of Accor on this planet and 67% of all the franchise hotel to really give us that benchmark, that measurement number that will be the base upon which you're going to see in the 2025 resolution. That now that we have the bed benchmark, well now we're going to have to reduce the water consumption. To Accor Certified. It's not a gimmick. When you have an Accor Certification, we said 30% of the hotel should have it. We ended up at 36%. That means you have commitments, you have engagement and those are in between different KPIs. And it's not as easy as people would think to get the certification because that means that, I guess, you're undertaking something big over the next two to three years. And of course, people could relate to it, both customers and owners. And that 36% is good but that's not good enough. So we're going to go to a higher number in the next 12 months. Diversity inclusion gender parity, we've been trying to attack and we are getting where we want on could we get that gender parity between men and women in this company. We got it resolved a long time ago, actually probably four or five years ago. One of the engagements of eight years ago was to have salary equity in between men and women within Accor. And it is, and it has been the case for the last two years. Now we want to make sure, they have -- we have the same level of expertise and position and leadership between men and women. 39% was a number for 2024. This is what we got. And you're going to see for 2025 and onwards we need that number to go up, and clearly to a 50-50 benchmark. I'm not going to spend too much time on the key takeaways. Some of it you've seen with Martine. I just want to -- and there's only four of them. The first one is important, probably critical or indispensable, which is with better meet on guidelines when we project yourself and you expose it to the outside world, well then whatever it takes just get there. And I'm happy and Martine as well on being totally fully in line with the guidance with all the numbers that Martine exposed to. Two, when we've done [indiscernible] in 1st of January 2023, [indiscernible] was the split in between two autonomous business -- what a business units which is PME on one side and Lux and Lifestyle on the other side. That was probably an easy decision. That was not an easy project to execute in terms of assignment, in terms of autonomy, in terms of leadership, in terms of accountability. And I talked about it last time we were together in 2024. You went quicker than expected. And now it's a work in the park. It's -- we're never going to go back. People have ownership accountability. They actually enjoy having their own turf. We -- what I'm trying to preserve is even if they have total ownership of what they do, which was the aim and the objective, that they understand not to be alone in their own swim lane that we're all battling together as a collective intelligence. And so we still have to interact quite a bit between the PME CEOs and of course, between the Lux and Lifestyle CEOs and the PME CEOs. There is last line here it's called increased value from development. I'm going to spend two minutes in exactly 30 seconds on why what I told you over the last few years on fees per room matter, why it is now demonstrated over the last four years. Strong dynamic from all loyalty members enrollment. We have over 10 million new members per year joining our Accor Limitless. And I don't know the date, but probably March, we will have the 100 million new Accor member existing. I don't know where that guy is going to be in Africa or in America or in the Middle East, but we'll find him. And of course when we find him, he will be a lucky guy because then we'll be celebrating with him. So, it's a very strong vibrant program with a lot of new partnerships and some of you were in Berlin with me before COVID. That was really the objective to get that program better placed, better used with a greater agility. So, it's extremely happy with the team who put all of this together. And then the shareholder return and the 7.5% of market cap we need to get to that 6% to 7.5% of market cap return every year and of course being consistent on shareholder buyback. That's a slide that I was anxious to spend -- to show to many of you the last four years, you heard me and many of you were probably a bit kind of tired of my mantra and it sounded like a broken record. And I told the Street and I told the financial analysts, I said please don't talk to me again about the net unit growth. The net unit growth 3.5%. Of course, this is one of the KPIs we gave you. But have been advocating for the last four years can we please have a better priority, which is not volume, but which is exactly the reverse contribution do we have a better fee per room for every hotel you operate because better fee per room means a greater number of absolute dollars both in revenues and in EBITDA. First time, we're showing to you. And I apologize, of course, there's a lot of details behind this. We decided not to show to you every detail, because then you're going to be asking for more. And then the poor guy is going to have to dance with you Peleliu [ph] and he's going to be doing very well. But we're showing to you, what was the pipeline in 2019. That number you have is roughly the 210,000 room at the time. You have the pipeline in 2024 and it's up 12% from 2019. But what's so noticeable, is the same pipeline that you knew of in 2019 compared to that new pipeline of 2024. The aggregate revenues that we are getting from the signed pipeline is 90% none the richer to Accor's benefit. So then many of you who pitched in you have the €1,200 fee per room for PME. Pitched in, you have the €3,900 fee per room for Luxury and Lifestyle, then you'll do your own math. But I can guarantee you, that fee per room for the next five years, is going to be increasing by way more than double-digit items, when you look at the last four-year period. So, that's what it is. It's very important for us, because we've been talking, we knew what we're doing. First time we decided to show to you, that I guess everything we do actually, enriching the quality and the absolute dollars back to your company. Priorities. The first one is, no negotiation 2023, 2027. We committed to you, we committed to ourselves to deliver the 9% to 12% EBITDA growth and other numbers you've seen whatever it takes. We'll better get there and we should get there. The -- in order to get to those KPIs on Capital Markets Day, you better be right, on where do you want to play, and what you want to play is obviously, in region where you have the fastest growth, in region where you have the strongest economy, the lesser geopolitical volatility. And those quite – those region happens to be in the Middle East, India and Asia Pacific, which is why 60% of the openings in 2025 happen to be in those precise region, because this is the easiest way to play. And this is where we have a true leadership ahead of many of our competitors. Three, you never know what's going to be hitting you. Of course, you're going to have new conflicts, new uncertainty, new social events. So, you better adapt. So in order to adapt, you need to build buffers. And building buffers means, you need to have a greater operating model efficiencies, agility and you need to find within your own system where you may not be finding elsewhere. That number three is back to what I said, number one, whatever it takes. And Jean-Jacques, myself, Martine and a lot of the leaders in the company, they know, they have to find efficiencies within the own system, which is probably why AI going to help us in terms of process and automation. Number four, we talked about it, but now we act. We've got a lot of discussion with the management of AccorInvest, which I have to salute, because they've done a hell of a job in 2024 in going back on their feet and having also great numbers and moved away from both COVID and financial debt restructuring. And then, we had several discussions with our fellow board members and stakeholders, i.e. partners investors within AccorInvest and we've announced to them in the full transparency that we decided to launch the sale of our 30 -- whatever 31% stake in AccorInvest. It's not going to be easy. The launch is being decided has been announced, confirmed to you this morning. It is a 12 to 18-month process, because of the complexity of both governance and the assets and the management contracts. So, it's doable of course, otherwise we'll not be launching it. But I guess give us the benefit of the time we need to get to full realization. But it's launched and there is no way back. And finally the €440 million buyback is not an [indiscernible] with uplift the €400 million many of you expected for the year by another €40 million to show true confidence ability to reach cash flow targets, EBITDA targets, and certainly confirming that there's no better use than available cash from Accor to buy shares. You've seen the share price performance and the uplift. Whatever you can buy today certainly cheaper than what we would be buying in a year from today. So, I feel very comfortable with €440 million. Last word, which is not on the slide here because that was not totally done at the time we put the slide together. I just need to thank and some of you are in the room, I need to thank the Board members of this company who basically made a decision yesterday morning at the Board approving for the 2024 numbers and recommending to the General Assembly of 2025. The renewal of myself and indirectly the leadership and management team of this company. That will be for another three-year mandate from 2025 onwards until 2028. And I can tell you and I won't share with you a lot of the Board discussions, but I can tell you the principle upon which they've made the decision which is super simple, they are very happy with Accor performances, they're very comfortable with the vision and the business company. And they -- we are cognizant that I guess we need to finish and to execute successfully as we start the 2023 to 2027 target. So, that renewal is 90% directly linked put aside the ambition and the vision to finish the job that got started in 2023. So, that's where we are. With this, I'm going to turn to questions in the room and questions online.
Q - Sabrina Blanc: Yes, good morning. Sabrina Blanc, Bernstein. Good morning Sébastien, good morning Martine. I have three questions if I may. I will begin by AccorInvest. So, you mentioned that you have launched the disposal. I would like to understand if you have already some discussions you see already some interest. It looks like that the hotel assets in Europe are something very interesting for a lot of investors, but to have your view on that? The second key question is regarding the 2025 targets. You have mentioned that you reiterate the midterm targets for 2025, but could we have more colors? You have mentioned for example that last year was a very good year with a lot of events. We have more events perhaps in 2025, but smaller just to have your filling. And the last question is regarding the key money. It looks like that your competitors have mentioned inflation regarding key money. It doesn't look like it's your case in 2024, but could we have your views for the coming years?
Sébastien Bazin: Yes. I think we should be starting with 2025 and key money with Martine because I want to put Mr. Jean-Jacques Morin on the block for AccorInvest. And I'm doing it on purpose not because I like the guy. But AccorInvest is clearly a mandate that Jean-Jacques has as a Board member of AccorInvest which I'm not and he's one amazing with all the different process. So, as being somebody being accountable and the leader of it Jean-Jacques you'll answer that question. But Martine you start.
Martine Gerow: Thanks for the question. So I'll start with -- I'll start with '25. Yes, you're right. We want to have another large event as the Olympics in 2025, but we do have pretty good type of events in '25. So, there's clearly some puts and takes. But given where we ended the year and given where we're starting the year, January was also a very good month and we're quite confident that we'll see good momentum in 2025 maybe not at the same level as '24, obviously, but still pretty good. With respect to key money, you're right we have not -- we haven't seen anything that surprises us. And you may recall that when we put the CMD together, we had indicated that we were going to step up our CapEx -- recurring CapEx from €200 million to €300 million over the life of the plan and this was really a reflection of the acceleration of the development in Lux and Lifestyle -- so Lifestyle sorry. So no really nothing that surprised us in what we see in the market.
Unidentified Company Representative: So I'll stand up. Good morning everybody. There is no surprise at us selling 30% of share of AccorInvest at that time, because it was always the plan if you recall and many of you have been asking us the question. And we've consistently said that we'll do it when it's the right time. It is the right time. Now, why is that? Because in fact, the performance of AccorInvest is very good. That was alluded by Sebastian and Martine. And on top of that, it's recognized by the market. Just the refinancing that was done over the last couple of months by Accor [ph] being a huge success and the debt on the balance sheet has been reduced by more than €1 billion and the terms on the debt are very good. So, it's the right time. And so when I just go and act what we always said that we were going to do, because this is I would say where everything comes together the start of the line. Is there interest? Obviously there is interest, because it's a unique portfolio. I mean a portfolio of AccorInvest doesn't really exist to that size anywhere else in the world or at least anywhere else outside of the US. So it's going to attract a lot of attention. And so, it's going to be a complex negotiation because it's a complex portfolio. It's a big portfolio. It's big gross asset value, but it's what we're going to do.
Sebastien Bazin: Anybody else in the room, before we go on those waiting online? No, you still have time actually to pop up. So if we're going to open the line, it'd be lovely.
Operator: [Operator Instructions] And first, we have Vicki Stern from Beckley. Please go ahead.
Vicki Stern: Good morning. Firstly, I just wanted to sort of circle back then on your thinking for 2025. So thank you Martine for the comments there on the RevPAR outlook. On the net unit growth, I think you'd indicated some of the sort of churn would be reducing as we go into 2025. So is that still the plan? And therefore, with that thinking about a net unit growth slightly above what we saw last year? And sort of a similar question really on EBITDA growth, how we're thinking about the range there? And linked to that your sort of confidence in the margin growth story that's continuing to deliver on the 100 bps or so per year. Is that still you still as confident on the medium term there but also specifically how we should think about that for 2025? And then yes, indeed a follow-up on AccorInvest. The €34 million possible further equity injection, how are you thinking about the likelihood of that? And it's probably now that may be the right time to start thinking about how you would think about the cash proceeds from that disposal? Would you be planning for those to come back to shareholders when it happens? Or have you got any other intentions? Thanks.
Sébastien Bazin: Okay, I can't wait to see you tomorrow Vicki. The -- so we'll start with the RevPAR and the EBITDA growth and so forth and then we'll go back and forth between Martine and myself. It's absolutely true that on the net unit growth for 2025, we had anticipated an exit of some of the AccorInvest portfolio going from management to franchise or being deflated. That was kind of the breezing room. We had structured together four, five years ago. So, no surprise here. Those numbers as you know they're being delayed from 2024 to 2025 because of probably other priorities for our co-investors. Those will be undertaken and deployed in 2025. So, you'll see a drop of the net unit growth in PME because of those exiting of those hotels that we anticipated when we've done the Capital Market Day but this is a delta between 2024 and 2025. I don't know the precise numbers, I don't know whether we want to go into the precise numbers. But that is really the only impact of net unit growth for PME AccorInvest 95% related. And there's no slowdown in net unit growth for Lux and Lifestyle. RevPAR we're not going to go in greater detail than what we've been projected into the Capital Market Day and all the benefit for you guys and for us you have STR data every week passing in every geography. So, you know that the RevPAR for the month of January was actually pretty solid across the globe for Accor. So, we'll go probably in greater details in the different one-on-one with all the investors, but we're not going to go on precise numbers and we're going to work like you every month's passing. EBITDA growth, same thing. We said 9% to 12% growth per CAGR in between 2023 and between -- up to 2027. CAGR means it's average. And some years, you're going to be at 12% as we are being enjoying in 2024. And some years you're going to be probably a bit lesser than the 12% depending on market environment and meaning on many other aspects. The only thing I can confirm to you is on average for 2023 to 2027, if you want to have a precise number, we should be up 10% kind of actually on an average number in between 2023 and 2027. Some great years, some less great years. And hopefully, for me why not surprising ourselves and surprising you on getting to a nick even better number than the upper end of that 9% to 12%. Margin growth, yes, we committed that in order to get to the EBITDA growth you need to have a better margin being built into your system because you may not have the RevPAR environment that you want to benefit from. So, it's a must. So -- and it's not only PME by the way within the own PME and Lux and Lifestyle we need to execute a bond is 100 basis points every single year in between 2023 and 2027. And when it comes to the cash proceeds the backstop on AccorInvest, we don't see any further money needed from Accor to basically meet the backstop that was done seven months ago define with the asset program. So, we'll wait until probably the end of the summer of this year. But as of this minute, we don't anticipate and I hope I'm right Jean-Jacques on this one.
Jean-Jacques Morin: I mean, just simply -- Sébastien, I think, the disposal program is going exactly per plan. So there is no risk on this one. Just on the NUG to be precise on crisp the NUG of PME will be higher next year than it will be this year. And other comments that Sébastien made on churn are proper, but the NUG number will be higher in 2025 that it was in 2024.
Sébastien Bazin: Gosh, I was trying to protect you and you didn’t take it.
Jean-Jacques Morin: No, no. I mean – this is fine.
Sébastien Bazin: It's even better for me then. Thanks a lot Jean-Jacques. And for the cash proceeds we haven't changed our mind and commitment. The vast majority if not the entirety of any Accorinvest should be used as going back to the shareholders. So this is not commit on what that number should be 75%, 80%, 90%, 100%. But the vast, vast majority is of course coming back to the shareholders. You've been asking us to be boring and disciplined. I cannot prove it to you otherwise.
Vicki Stern: That’s great. Thanks very much.
Sébastien Bazin: What’s great to be boring? We can see you tomorrow
Operator: Thank you. And we move to our next question now which comes from Jamie Rollo from Morgan Stanley. Please go ahead.
Jamie Rollo: Thanks. Good morning. Three questions as well please. First a bit of a boring one but just quite a few moving parts in the year. The EBITDA line Martine you talked about the end of the incentive fee exemption which affected second half we had the holding costs also jumping up in the second half. And the first half you had the sort of super high residential fees. Can you please sort of quantify all of those and help us understand the bridge to 2025? Secondly coming back on AccorInvest. Can we assume there will be no change to the existing HMA agreements with Accor. So none of the sort of fee transfer that we saw the original transaction six, seven, eight years ago except for the hotels being deflagged as you mentioned earlier. And then finally a bit of a sensitive one Sébastien, but just thank you for – ending the worthy – awaited debate on your CEO, Chairman term. I mean is this simply about meeting those targets exiting AccorInvest? Or is there anything else you'd like to do to close the valuation gap to your peers? Thank you.
Sébastien Bazin: Okay. The first question is a tough one. So I don't know whether you want to go in all the details, Martine but I won't take that one.
Martine Gerow: Hi, Jamie. Sure. So let me start with the -- yes there are a couple of moving pieces. I'll start with the holding cost. So, yes, there was an uptick in the second half. That was more related to the baseline of 2023 for the second half where we had some favorable one-off. And we also had some project costs falling into the second half of this year. So you had a bit of a double effect. Now what I would say is that the cost that we have in the second half is probably a good indication of where our run rate is. In terms of the residential fees, we had a really strong first half. And overall our residential fees revenue is significantly up in 2024 versus 2023 but it was lopsided. It was more in the first half than the second half. I'm not going to give you an exact number for 2025, but we certainly expect that revenue stream to continue to grow albeit not at the same pace that we experienced in 2023 but certainly no headwind there.
Sébastien Bazin: Jean-Jacques are you going to go back on AccorInvest and the no change in the management fees? How do you anticipate all this?
Jean-Jacques Morin: It's beginning of the process. So we'll see how the negotiation goes as a renegotiation there are give and takes – but obviously, the principle is that we are not giving away any fees on the HMA as a principle, right? So we'll see.
Sebastien Bazin: I know I'll regret you take the microphone – No it's fine. On the – on my last question Jamie on – is there anything else than the Capital Market Day? Yes there is. It's – I'm going to share with you and I guess with each of you but I would do so anyhow in the next 10 days of roadshows, so I might as well be done globally. There is five different undertaking that I guess I would love to finish and that I feel are necessary for the group for the next three years. The first, which is of no surprise is operational excellence. We need to be better at what we do. And of course, it's a 100% linked to the Capital Market Day. We need to get the cost to a better level. We need to get the brands value shining better. We need the distribution to be stronger. We need the ad tool to come in. We need the margins to be improved. So there's a lot of things that I guess we haven't finished, which is being undertaken now and it takes two to three years to basically get that job done. Very critical, because this is the buffer that I guess I want this company to have built in to sustain any storms. Number two is go faster in selected geographies in which we have either leadership or we should be the leader and those geographies Accor is probably better equipped than many of our competitors because they're further abroad and they don't have the same history and the same relationship have with many of those different owners and government officials. And I won't be surprising you, when I say that I guess it is clearly going into South America, China, India, Middle East, those are the fastest growth geography in which we are good. We know exactly how do maneuver, we know exactly how to grow and we've been proving over the last four years that we gained leadership and we just have to go stronger, firmer, quicker. And I'm spending a lot of time if not a majority of my time in those four different geographies back and forth every week of the year. The third is AccorInvest. We need to get AccorInvest done, but I am clear with you and you heard me for the last 10 minutes that execution is absolutely empowered by Jean-Jacques and I have no fear that I guess it's going to get done but I just want to make sure that if he needs my help to get it done we were the one and I guess I was the one who brought in five years ago those sovereign funds from GIC, PIF, Mondi and many others. So I am also responsible vis-à-vis our core partners. I guess we do that smoothly and as a mutual benefit for absolutely everyone. Fourth is Ennismore. Ennismore is an incredible machine, doing very well. We have commitment with our co-investors within Ennismore, that structure was also put together at the time by the current management team and we need to go probably for different even greater step in terms of Ennismore growing even faster. And number five, Talents. This company has many Talents in all over the world and geographies. Those are great leaders. They can be even stronger. It's called grooming and that drug also has to be done and I'm also responsible for making sure that the team will be fully prepared very soon to basically lead this company, you don't need to have an outsider to come and lead this company. But those are the five priorities that, I guess, have been expressing, to many of you internally to, of course, the fellow Board members and to you as outside investors and analysts for the last five minutes.
Jamie Rollo: Thank you very much. Just for any [ph] small, does that mean you're looking to buy out the minority stakes? And how does that square with the acquisition comment earlier?
Sébastien Bazin: The answer is very likely no, because I've been saying to you that, I don't think this is a proper solution to buy the outside shareholders, because I also said to you, and I'm going to be repeating myself but at least given the benefit of being super coherent over the last few years. I don't think it is the right decision for Accor core to own 100% of any small were we to do so. I can guarantee you unfortunately that many of the Lifestyle company being owned 100% by existing operators are usually fading. Lifestyle needs autonomy, needs greater independence, needs agility. You can't grow it as fast if you have it 100% owned by Accor. So that autonomy, that different common investors, governance is super helpful on basically getting them to where they want to be.
Jamie Rollo: Thank you very much.
Operator: Thank you. And next, we have Muneeba Kayani from Bank of America. Please go ahead.
Muneeba Kayani: Good morning. The first question just on signing, which I think you said 11%. Could you give more color of that by region segment, and kind of what's been driving that strong growth? Then secondly, there was news of a sale of the F1 brand. Can you talk a bit more around that? And then on China, you just mentioned that being a focus area. So, two things on that. Firstly, how are you thinking about China this year, could RevPAR turn positive? And then secondly, would you change how you operate in China? Thank you.
Sébastien Bazin: Signing, I won't go back in greater detail on this one except saying the evidence and which you've been noticing over the last few years. Yes, we have better fees when you come to countries like the Middle East and Singapore. So clearly, we are going deeper in those geographies with actually a better fee per room. And true, it is also growing faster when you come to Lux Lifestyle than it is for PME. PME is growing faster, because they actually basically cleaning the portfolio and exiting some very low fee income properties, so the averages get better. So it is very much linked to geographies and links to increasing our share in Lux Lifestyle segment and restoring better openings compared to the existing PME portfolio. That's what it is. There's no magic about it. But it just needs to be implemented and stick to the game, which we started by the way five years ago, so which is why that 90% is extremely impressive. Formula 1, it's being announced. We are discussing, we have enclosed. So there's nothing I can tell you in a private conversation but I guess, we are comfortable that we're going to get to where we want to get. And China, it is clearly a discussion being undergoing with our China team. And you know we have an enormous benefit. Accor is very, very, very close to the two largest China hospitality player by far. The one is called Jinzhong state-owned company Shanghai based and you know Jingdong has been a happy shareholders of Accor and still is a shareholder of Accor and we have privileged relationship with the entire management team of Jinjiang over the last five years, and number two player in China called Wahu, which is entrepreneur Chairman, GC which we own 11% of this company where I was a Board member. And we also have very strong relationship with GC. So whatever we do in China I can only tell you one thing. We'll do it with open eyes with the proper and the best partners.
Muneeba Kayani: Thank you.
Operator: And we're moving on to the next question from Alex Brignall from Redburn Atlantic. Please go ahead.
Alex Brignall: Good morning. Thank you very much for taking the question. A couple on your growth and obviously trying to keep away from net unit growth to extent you're not focus too much on that but you gave a very interesting detail in terms of fees key within your pipeline. I wonder if you could tell us how quickly you expect that 70% higher fee per key to manifest on the P&L in terms of -- do we need to look out a couple of years? Or should we start to see it even in 2025 numbers? And then obviously the big focus of this result season has been money or kind of very low revenue deals and that will see growth not meeting net unit growth plus RevPAR. I guess, could you give us any detail on how you think about that? Obviously key money is not something you pull deliver and you also haven't done any of these partnership deals with -- with very little revenue contribution. But when you look at the outlook for your growth are there opportunities to do these partnerships? Have you looked at them and turn them down on account of them having bad terms? How do you think about that opportunity? Thank you.
Sébastien Bazin: The -- I'm smiling, because I did not give you that 70% growth in the fee per room that you just thrown at me. But I guess, I did tell you, it was a double-digit or a big fee per room growth, but you must have made some estimates. So it's -- you're correct it's -- that number is incorrect but you're correct it is very significant. And you're also correct. It is -- I need to gauge better, but it's probably for me full impact on Accor numbers in 2027 onwards between what you signed over the last three or four years signing to building of course, thank God, we have a 54% conversion rate today on the opening. But it is a 2-year lag to get the full benefit of what's being actually signed and built in. So I'm -- you won't be in 2025 you're going to see a bit of it in 2025. I don't know, whether you have an assessment Martine, but I guess, I that's I would say, probably 10% in 2025, you see 30% in 2026, and you'll get probably to 70% in 2027 and a less balance in 2028. And that could be deferred by one year depending on market conditions and the time and pays for the owner to build that inventory. So it's a tiny bit in the last leg of 2023, 207 numbers but the most impact would be probably the 2028 to 2030. Again, Martine you can jump in.
Martine Gerow: So, let me -- it takes about three, four years between signing and actually opening the property and then you have a couple of years of run rate. So it's really going to be more in the medium term you know one way to think about it is you saw the PME M&F fee per room was actually quite stable 2024 over 3023. L&L was up about €100 which is about that's about one point. So it's definitely going to materialize but it's going to be more in the medium term. You'll see some impact every year, but it's going to be more in the medium term. And maybe I'll take your question on key money. Again, we're not -- a couple of points on that. One is when we -- key money is mostly in the luxury and lifestyle space. And when we do key money, we do that with a fee per room. which is about 20%, 25% higher than no key money, right? So it's definitely accretive. We don't -- and we also do that when we have a contract that is longer than for a deal with key money. So we're not no key money, sorry. So we're very, very disciplined on where we invest our capital when it comes to signing deals. And again, we haven't seen anything that is not what we expected when we put our 2023, 2027 plan together. So -- and as we said, you should expect that over the life of the plan, our CapEx will go up, as we said, between from €200 million to €300 million by the end of the plan period, which is 2027.
Sébastien Bazin: And we're being shying away, turning down any discussion with those big partnerships that you have seen elsewhere precisely because we're not driven by net unit growth kind of actually numbers that people are looking forward to get. And it was certainly unnecessary for us and unwise to do those big partnerships and the numbers being talked about.
Alex Brignall: That's fantastic. Thank you. I guess on the number that you said I didn't have, I just divided 1.9 by 1.12 from your presentation. So math aren't necessarily my strong, but I think I could...
Sébastien Bazin: You got to have fun, which is why Paul Pier, you're going to have fun with him.
Alex Brignall: Thank you so much.
Sébastien Bazin: You're welcome. Thank you.
Operator: Thank you. And from UBS, we now have Jarrod Castle with our next question. Please go ahead.
Jarrod Castle: Thank you. Good morning, everyone. Three as well. Can you just talk about kind of development of incentive fees and how you see some of the pressures maybe on them this year as you kind of did highlight inflation, although uncertainty around that? Secondly, I mean, just looking at the accounts, I mean, AccorInvest saw quite a big jump up from around €600 million on your books to €850 million. Can you maybe just talk a little bit about what drove that? And is that kind of a starting point for any negotiations? Or should we just ignore that as an accounting assumption? And then just lastly, I actually asked a question also to the CEO of IHG. But just on climate change, I mean, you're kind of highlighting that quite a lot. I was just wondering, are you a bit concerned about any hotels in locations which could be very adversely affected by climate change, either through floods or lack of access to water or fires? And if so, could you maybe quantify how many hotels across your portfolio you would see, which are in areas which might adversely be impacted? Thanks.
Martine Gerow: So thanks for the question, Jarrod. On incentives, and I guess what I can tell you is that we've actually seen a stable -- gross operating margin at the hotel level. So they've been able to offset any effect of inflation. And we don't see signals certainly looking into the next 2025 at least. We don't see them not being able to maintain that offset. So no concern on incentive fees per se. On AccorInvest, the value of the balance sheet is €850 million, you're correct. And that's really a function of the capital injection we did as well as the fact that we had a sizable net income from AccorInvest but that's an accounting value.
Sébastien Bazin: Yes. And on the climate change, we do have assessment of the risk nature that we do every year as part of the kind of a sustainability report CSR audit report. Climate change is certainly in the top five, kind of actually priorities in terms of assessing better. We don't have a precise list of the hotels, who could be impacted. We haven't done that yet. And I guess, it'd probably be a good thing for us to look at it that way. But of course, we have an assessment on geographies, in which we have water shortage and fire hazard, what has been decided. Almost three years ago, on those typical region where we know they could be the most impacted to stop or slow down development. And that's true for -- some Island in Greece, that I alluded to like in Mykonos where we decided not to open two hotels, we meant to build and something for fire hazard geographies in which we're no longer building anything, because of those existing risks moving forward. So I'll -- we'll get back to you probably on this one. Maybe not in a granular way, the way Intercon has done. But I guess we are acutely aware of those risks and those impact.
Jarrod Castle: Thanks very much.
Sébastien Bazin: You’re welcome.
Operator: Thank you. And next now, we have a question from Jaina Mistry from Jefferies. Please go ahead.
Jaina Mistry: Hi. It's Jaina Mistry. I've also got three questions if I may. I know you don't want to talk about net unit growth. But obviously, it is one of your KPIs and that was the rationale from me asking. You talked about averages for your -- in terms of your medium-term algo. And if I'm looking at the last two years, your net unit growth has been at the lower end of your targeted range. Would that mechanically imply that from 2025 to 2027, we should see a net unit growth number at the higher end of your range, somewhere between 4% and 5%? And then my second question also partly related to net unit growth. And when I look at your Luxury and Lifestyle pipeline, it implies a net unit growth that still is below your medium-term guidance. And I think this is driven by Luxury. Could you just give us an update on your Luxury strategy, and how you plan to accelerate the pipeline here? And any progress you've made in the last 18 months here? And then last question. I noticed in your answer to your -- things we can do with the business over the next three years, I noticed that you didn't talk about a potential spin-off as one of your businesses. Is this a change in the way you're thinking about the business? Or would it still be on the table? Thank you very much.
Sébastien Bazin: I don't know whether I like or whether I hate those analyst questions. It's because you're getting very granular and you're rightly doing so. It's -- on the net unit growth, you are absolutely correct. I just want to basically put things in perspective. You understand, we started the Capital Market Day for 2023 up to 2027 onwards with a new organization, with new leadership i.e. with new vision in terms of what they inherit, in terms of brand portfolio, be it the four CEOs for PME and the four CEOs for Lux and Lifestyle. And then, we're being very transparent with each of you and internally as well, by saying, we need to clean an existing portfolio, which was not to the level expected and we have so-called detractors. Detractors is an existing hotel, on an existing brands where you don't have the performances, you wish. You don't have the design that the brands deserve. You don't have the right operational metrics and you may be in the wrong location. That's called Pure, as a project for our Accor, which is really dissecting each of the hotel, of each different region, is a different brand. And we gave full authority, to those eight new CEOs, to precisely clean and exit those detractors hotel, because the worse is to keep them forever. It's impacting your brand positioning and brand experience. So that has been undertaken in 2023, in 2024 and there is still a bit left to be done in 2025 and 2025 of course, some of it is related to AccorInvest. AccorInvest is exiting those hotels precisely because, they are very low performers. So that is the first three years of 2023 2027, which is why you see the net unit growth being at the low end. And you are also super pertinent, when it comes to Lux and Lifestyle -- those luxury brands being Sofitel MGallery and Raffles and of course Fairmont. Yes, they're also going to the exact same process, which is to clean an existing portfolio and exiting some of the portfolio and reviving, a new brand promise, a new brand standard and new brand vision certainly when it comes to Fairmont. So, yes, there is a lag effect between a slow to mediocre growth in between 2023, 2024, and 2025. And you're going to see a much faster growth, which is a result of that plan being ambition and executed in the last leg of 2026, 2027. No, surprise for us. That was built that way, and it's going exactly on process. The spin-off, I didn't talk about the spinoff. I talk about, how could we basically get a greater appreciation, greater value and greater autonomy and a greater growth pace for any small, which deserves it entirely. And we'll go back to you in due time, when we have clarity on what are the right solutions to get to where we want to be.
Jaina Mistry: Thanks very much.
Operator: Thank you. And now our next question comes from Jaafar Mestari from BNP Paribas Exane. Please go ahead.
Q – Jaafar Mestari: Hi, good morning. I have three, if that's okay. Firstly, if you could go back and maybe elaborate a little bit more on the comments, you made on Luxury and Lifestyle, the termination of incentive fee exemptions, specifically Sofitel and specifically Fairmont, and specifically in France, what are the exact mechanics here? And is it a one-off impact in just H2 2024 or is this reducing fee revenue and it's a new base and in H1 2025, you'll still be here and annualized? And then, secondly, on operating leverage, I assume that Luxury and Lifestyle incentives points will be part of the answer. But can you explain, why in simple terms, when you deliver RevPAR above the top end of your guidance range for the year, EBITDA does not end up above the top end of the range as well. And lastly, on net openings. You've talked about Luxury, which is 3%. There's another angle here, which would be I guess the Americas and I'm guessing North America specifically was basically zero. I don't think we have a pipeline number for the Americas in the documents yet. But is it a similar comment? Did there's some cleanup of the portfolio and you'll just pick up naturally? Or do you need to run the US differently? Is it invest more in sales, is it find partners, find the master franchisee, find portfolio deals. What do we need to see to see a step change in North America, I believe?
Sébastien Bazin: Do you want to go on the first two?
Martine Gerow: Right. Hi, Jaafar. So on the -- comment on the incentive fees, it's really in some contracts it's really Sofitel. We had waivers for a couple of years on post-COVID basically on incentive fees and that waiver period just basically ended in 2024. So it's now part of the baseline if you wish. In terms of operating leverage, if I look at the Luxury and Lifestyle, M&F revenue growth in that segment was up 11% and the M&F EBITDA was up 12%. And really this is a function of the fact that that division was very much still in a ramp-up mode in 2023. And so we didn't have the full cost base of the full investment base in that division in 2023 not obviously the case as we exit 2024.
Sébastien Bazin: And Jaafar you are correct. On the net opening when it comes to North America, it's not a question of management team. It's not a question of focus. It's a question of one step at a time. The first step was certainly in America, clean sit down with existing owners understand what might have been done wrongly either from Accor over the last few years. And in terms of owners lack of appetite to invest into that product and destination, we have mostly two brands outside in America, Sofitel and Fairmont. We have actually had a new opening Raffles Boston, which is a great success. So it's -- there's a lot of ongoing discussion on first basically getting into the existing hotels of Accor and cleaning up the portfolio before we open a new hotel on that brand. I can only guarantee to you that it was only three weeks ago at Alice, the hotel conference in Los Angeles. We have seen a lot of owners' appetite, partner’s appetite, private equity appetite for Fairmount, for Sofitel and other brands of Accor in North America. So North America is a priority in terms of expanding the existing network. This is a market where you have a very significant fee per room and margin and of course a lot of stability. This is also a market where we also have to be prudent and get better as you alluded to on our own distribution system, loyalty system of Accor is not as strong in North America that it could be in other parts of the world. So [indiscernible] go there, make it a priority, but don't be fool on what you do again on other promising and not delivering. So it's -- but you're right we are not exiting America to the country. But we adjust reattacking America for the last 12 months with new leadership. America with a new great office in New York, and more spending a lot of time today on Sofitel with a lot of new works being undertaken at Sofitel, New York. So it's only a question of patients and basically finishing what got started 12 months ago. So no worry on this one and we have the eyes on it.
Jaafar Mestari: Thank you. And if I can just clarify these points on cost investments in Luxury and Lifestyle, presumably that was part of the plan and you expected to ramp up those costs in 2024. So I guess my question is really that was embedded in your guidance. You then beat on your RevPAR guidance above top end, but you do not quite beat on your EBITDA guidance. I was asking, if there were any surprise investments or maybe, it's just FX? Is there anything that wasn't expected?
Martine Gerow: No. I mean, Jeff and that's why I commented on the revenue growth, because if you look at the M&F revenue growth it's -- it's slightly less than the RevPAR plus net unit growth and that's really a function of FX in Turkey and in Egypt primarily.
Sébastien Bazin: The FX number, I think I'm saying loud the FX numbers for our core for 2024, I think negative €22 million to €25 million.
Martine Gerow: On EBITDA.
Sébastien Bazin: On EBITDA huge number.
Martine Gerow: Was about two points…
Jaafar Mestari: Thank you very much.
Martine Gerow: … two points on revenue at group level, but higher on Luxury and Lifestyle.
Jaafar Mestari: And on EBITDA. Thank you.
Operator: Thank you. And from Deutsche Bank, we now have Andre Juillard with our next question. Please go ahead.
Sébastien Bazin: Andre, you may be the last one, because we have three minutes to go. So make sure you don't have three questions.
Andre Juillard: That will be very short. Good morning and congratulation for the result. First one maybe to come back on the operating leverage, I understand the growth target. But could you give us some more detail on the potential target -- final target on the operating leverage, because your margin is around 20%. You were slightly above in 2019. I don't know if the comparison is fair. But could you give us some more visibility on what you could expect in the mid-term? Second question on the tax issue, France is very volatile, but do you have any visibility for 2025? Third question, happy to have you for the next three years Sébastien does that mean that Jean-Jacques and Martine will be with you for the next three years? And last question if I may on AccorInvest, IPO or private deal? Thank you.
Sébastien Bazin: I'll start with the easy one Andre, do you help me? Do you have a view? Should I keep Jean-Jacques and Martine?
Andre Juillard: Yes.
Sébastien Bazin: Then that – Yeah, I have a view the team that we have at Accor and around me it's extraordinary, so we have no intent to really change a team and we're battling tackling together happily so. You want to go?
Martine Gerow: Can you take the other questions?
Sébastien Bazin: Yeah. No, I -- what was the last question? About operating…
Martine Gerow: Okay, I'll take that.
Sébastien Bazin: …Operating leverage, I'll give it to you for sure.
Martine Gerow: No. So, operating leverage. Look, our CMD algorithm is 6% to 10%, M&F revenue growth 9% to 12% EBITDA growth. That means that we have to get between 100 to 150 basis points per annum of margin accretion. And it's going to come in M&F, but it's also going to come from hotel assets and other which is a portfolio that has significant growth and we do expect and we've seen that in 2024, we do expect operating leverage in that division as well. I think you had a comment on tax. So look, we're quite happy that France finally voted its budget. In terms of the new tax code, there's really no change from where we were a couple of months back. We're still looking at -- there will be an impact, but overall between share buybacks and the exceptional tax Income tax. You're looking at roughly €10 million overall for the group and half of that is income tax and half of that will be will be share buyback, so relatively de minimis.
Sébastien Bazin: And on the AccorInvest, whether it's an IPO or something else, there's no exclusion. There's no taboo. We -- the only thing that to the two things that I guess we want to solve. Number one, we need liquidity. We want liquidity out of this investment and a better use of the cash invested. So that's clear which is why we started this process of selling, exiting the 30% we have. And number two, we need that solution to be fully onboarded by both management team of AccorInvest which we do -- we owe them quite a bit in terms of having navigated superbly through the storm and to fiduciary duty relationship trust, who has been built in with all the stakeholders of AccorInvest being Colony, Amundi, PIF, GIC. Those are institutional players and we're never going to be doing anything who's going to be damaging them in Accor exiting. So full transparency alignment and whatever the best solution is, if we can actually get to the two undertaking I want.
Sébastien Bazin: It is exactly 10 o'clock. So [indiscernible], thanks a lot for all of you who have been connecting to this session. And then, we'll see many of you physically in the next 10 days. We'll enjoy a wonderful day. Bye-bye.